Operator: Good day, everyone. Thank you for joining Packaging Corporation of America's Fourth Quarter and Full Year 2022 Earnings Results Conference Call. Your host will be Mark Kowlzan, Chairman and Chief Executive Officer of PCA. Upon conclusion of his narrative, there will be a question-and-answer session. Please also note today's conference call is being recorded. At this time, I'd like to turn the call over to Mr. Kowlzan. Please proceed when you are ready.
Mark Kowlzan: Thank you, Jamie. Good morning, and thank you all for participating in Packaging Corporation of America's Fourth Quarter and Full Year 2022 Earnings Release Conference Call. Again, I'm Mark Kowlzan, Chairman and CEO of PCA. And with me on the call today is Tom Hassfurther, Executive Vice President, who runs our packaging business; and Bob Mundy, our Chief Financial Officer. I'll begin the call with an overview of our fourth quarter and full year results, and then I'm going to be turning the call over to Tom and Bob, who'll provide further details. And then I'll wrap things up, and we'd be glad to take questions. Yesterday, we reported fourth quarter 2022 net income of $212 million or $2.31 per share. Excluding special items, fourth quarter 2022 net income was $215 million or $2.35 per share compared to the fourth quarter of 2021 net income of $262 million or $2.76 per share. Fourth quarter net income -- fourth quarter net sales were $1.98 billion in 2022 and $2.04 billion in 2021. Total company EBITDA for the fourth quarter, excluding special items, was $409 million in 2022 and $463 million in 2021. Excluding special items, we also reported full year 2022 earnings of $1.04 billion or $11.14 per share compared to 2021 earnings of $894 million or $9.39 per share. Net sales were $8.5 billion in 2022 and $7.7 billion in 2021. Excluding special items, total company EBITDA in 2022 was $1.9 billion compared to $1.7 billion in 2021. Fourth quarter and full year 2022 net income included special items primarily for certain costs at the Jackson, Alabama mill for paper to containerboard conversion-related activities. Details of all the special items for the year 2022 and 2021 were included in the schedules that accompanied the earnings press release. Excluding special items, the $0.41 per share decrease in fourth quarter 2022 earnings compared to the fourth quarter of 2021 was driven primarily by lower volumes in our Packaging segment $1.14 and Paper segment $0.02. We also had higher operating costs of $0.48, primarily from inflation on energy, chemicals, labor and benefits, supplies, repair materials and services and other indirect and fixed costs. Freight and logistics expenses were unfavorable $0.13 along with higher depreciation expense, $0.09, higher converting costs, $0.06 and higher scheduled maintenance outage expenses of $0.01. These items were partially offset by higher prices and mix in the Packaging segment of $1.18 and Packaging segment -- and Paper segment rather of $0.21. A lower share count resulting from share repurchases $0.08; lower interest expense, $0.04 and a lower tax rate, $0.01. Results were $0.13 above the fourth quarter guidance of $2.22 per share, primarily due to higher prices and mix in the Packaging segment, lower freight and logistics expenses, a lower share count resulting from share repurchases and a lower tax rate. Looking at our Packaging business. EBITDA, excluding special items in the fourth quarter of 2022 of $392 million with sales of $1.8 billion resulted in a margin of 21.7% versus last year's EBITDA of $461 million and sales of $1.9 billion or a 24.5% margin. For the full year 2022, Packaging segment EBITDA, excluding the special items, was $1.8 billion with sales of $7.8 billion or a 23.8% margin compared to full year 2021 EBITDA of $1.7 billion with sales of $7.1 billion or a 23.9% margin. Demand in the Packaging segment was below expectations for the quarter, causing us to run our containerboard system to these lower demand levels. Our employees did a very good job with their cost management and process optimization efforts at these lower production rates to offset the negative volume impact. Total economic-related downtime for the fourth quarter was approximately 231,000 tons. The scheduled maintenance outage and conversion work at our Jackson, Alabama mill was completed successfully during the fourth quarter, and we restarted the mill earlier this month after being down as a result of the lower demand. The number three machine achieved its first phase design capacity and is producing a very high-quality virgin linerboard. However, based on current containerboard demand levels, we decided to move the second phase of the conversion work from this spring to next year in 2024. I'll now turn it over to Tom, who will provide further details on containerboard sales and the corrugated business.
Thomas Hassfurther: Thank you, Mark. Domestic containerboard and corrugated products prices and mix together were $1.19 per share above the fourth quarter of 2021 and flat compared to the third quarter of 2022. Export containerboard prices and mix were down $0.01 per share compared to the fourth quarter of 2021 and down $0.02 per share compared to the third quarter of 2022. Corrugated product shipments were down 8.7% per work day and down 10.2% in total with one less workday compared to last year's fourth quarter. Outside sales volume of containerboard was 131,000 tons below last year's fourth quarter and 38,000 tons below the third quarter of 2022. The lower demand in our Packaging segment was driven by several items. The inventory correction in both boxes and our customers' product has been more prolonged than what we originally anticipated at the start. Inflationary pressures on the consumers have also added to the problem by reducing the consumers discretionary spending capabilities. In addition, consumer behavior changed very quickly as we exited the extreme COVID period, resulting in more of a preference towards travel, entertainment and experience versus that of tangible goods. Containerboard and box demand continues to be negatively impacted from the deterioration in U.S. and global economic conditions, rising interest rates and a cooler housing market. As we move from the fourth quarter into the first quarter, we estimate the rate of shipments per day to be fairly similar as we expect many of these conditions to continue. However, there are four additional shipping days in the first quarter, so total actual shipments will be higher when compared to the fourth quarter of 2022. In spite of the numerous issues currently impacting demand, we continue to perform at levels above pre-COVID and anticipate our first quarter shipments to exceed first quarter 2019 shipments by approximately 6% on a per day basis. Now I'll turn it back to Mark.
Mark Kowlzan: Thanks, Tom. Looking at our Paper segment. EBITDA, excluding special items in the fourth quarter was $39 million with sales of $154 million or a 25.7% margin compared to the fourth quarter of 2021 EBITDA of $26 million on sales of $143 million or an 18.4% margin. For the full year 2022, Paper segment EBITDA, excluding special items, was $132 million with sales of $622 million or 21.3% margin compared to the full year 2021 EBITDA of $72 million with sales of $600 million or a 12% margin. Prices and mix were up 21% from last year's fourth quarter and moved 3% higher from the third quarter of 2022 as we continue to implement our previously announced price increases. Sales volume was about 11% below last year's fourth quarter, primarily due to paper sales from the Jackson Mill's number one machine, which we included in last year's results as well as having -- we optimized our product and customer mix since that time as we transitioned away from paper volume at Jackson mill. As expected, volume was down approximately 11% versus the seasonally stronger third quarter of 2022 and that also included the remaining inventory from the Jackson mill. The management team and all of the employees of the Paper business have done a tremendous job over the last several quarters to optimize our inventory, product mix and cost structure in order to deliver outstanding results for 2022, and I'm confident that we can maintain this momentum through 2023. I'll now turn it over to Bob.
Robert Mundy: Thanks, Mark. Cash provided by operations during the quarter totaled $420 million with capital expenditures of $247 million and free cash flow of $173 million. Other cash payments during the fourth quarter included dividend payments of $116 million, cash tax payments of $56 million and net interest payments of $31 million. We also spent $380 million during the quarter to repurchase just over 3 million shares of our common stock at an average price of $126.70 per share. That brings our total repurchases, over the last 5 quarters, to almost 5.5 million shares at an average price of $130.62 per share. Repurchases of our outstanding stock and dividend payments made during the past year, represent 63% of cash from operations or 91% of net income that was returned to shareholders in 2022. For the full year 2022, cash from operations was $1.5 billion. Capital spending was $824 million, with free cash flow of $671 million. Our final recurring effective tax rate in 2022 was 24.5%, and our final reported cash tax rate was 20%. Regarding full year estimates of certain key items for the upcoming year, we expect total capital expenditures to be approximately $475 million, and DD&A is expected to be approximately $485 million. We estimate dividend payments of $450 million and cash pension and post-retirement benefit plan contributions of $53 million. Our full year interest expense in 2023 is expected to be approximately $72 million and net cash interest payments should be about $74 million. The estimate for our 2023 book effective tax rate is 25%. Currently, planned annual maintenance outages at our mills in 2023, including lost volume, direct costs and amortized repair costs, it's expected to be in total, $0.67 per share versus $0.99 per share in 2022. The current estimated impact by quarter in 2023 is $0.11 per share in the first quarter, $0.14 in the second, $0.22 in the third and $0.20 per share in the fourth quarter. I'll now turn it back over to Mark.
Mark Kowlzan: Thank you, Bob. The hard work of our employees, along with strong relationships between us and our customers and suppliers delivered outstanding results for PCA in 2022. New annual company records were achieved for revenue, cash from operations, net income and earnings per share. And as Bob just mentioned, 91% of our net income was returned to our shareholders from dividend payments and stock repurchases. We successfully completed or substantially completed significant cost reduction and process improvement projects at our mills including a 30-megawatt steam turbine and first phase of the number three machine conversion to containerboard at the Jackson mill. This effort included fiber flexibility projects at the Wallula and Jackson Mills and many other key initiatives. We also completed numerous high return and high efficiency improvement projects in our corrugated products plants that will allow us to better optimize our entire packaging business for the future and deliver profitable growth and mix enhancement opportunities for our customers and shareholders. The significant capital investments we've made during the year had complete involvement of PCA personnel from project conception, preliminary and detailed engineering, all the way through to project implementation and start-up. These projects and initiatives achieved numerous tactical and strategic benefits while improving our industry-leading return on invested capital to just under 20%. As we've discussed on these calls many times before, by the end of 2022, we would be winding down several years of significant strategic capital investments that position us very well to meet the future needs of our many customers in a very cost-effective manner. We also finalized the optimization of our paper business while delivering excellent financial results that we expect to sustain us well into the future. As economies around the world continue to deal with numerous issues and uncertainties, virtually every individual industry is being negatively impacted in some manner. At PCA, we will continue to maintain a strong balance sheet which provides the financial flexibility to react quickly to most situations or opportunities in the future. We will also continue our commitment of a balanced approach towards capital allocation in order to maximize our profitability and returns to our shareholders. Looking ahead, as we move from the fourth and into the first quarter in our Packaging segment, as Tom mentioned, we expect box demand on a per day basis to be similar to the fourth quarter levels, although we expect higher total volume with corrugated products plants having four additional shipping days. Prices will move lower as a result of recent decreases in the published domestic containerboard prices and we're assuming lower export prices as well. Paper prices should move slightly higher with sales volume fairly flat. Labor costs and certain indirect costs will increase as some containerboard mill operations were temporarily idled during the fourth quarter. In addition, we anticipate higher labor and benefits costs and other timing-related expenses that occurred at the beginning of a new year as well as higher prices for many chemicals, particularly starch and caustic soda. However, we expect lower wood and recycled fiber prices, lower energy prices and lower scheduled maintenance outage expenses. Lastly, we expect higher interest and nonoperating pension expenses and a higher tax rate, but we will see some benefit from our recent share repurchases. Considering these items, we expect first quarter earnings of $2.23 per share. With that, we'd be happy to entertain any questions, but I must remind you that some of the statements we've made on the call constituted forward-looking statements. The statements were based on current estimates, expectations and projections of the company and involve inherent risks and uncertainties, including the direction of the economy and those identified as risk factors in our annual report on Form 10-K and in subsequent quarterly reports on Form 10-Q filed with the SEC. Actual results could differ materially from those expressed in the forward-looking statements. And with that, Jamie, I'd like to open the call for questions, please.
Operator: Ladies and gentlemen at this time we will begin the question-and-answer session. [Operator Instructions] Our first question today comes from George Staphos from Bank of America Securities. Please go ahead with your question. And one moment while we open George's line. Mr. Staphos please proceed with your question.
George Staphos: Hi. Good morning, everybody. Thanks for the details. Congratulations on very good performance in a very, very challenging quarter, at least from our estimation. Mark, my first question, to the extent that you can comment, you took a significant amount of downtime. Production was down sharply, from our own rough calculations it would seem like your inventories now are fairly well balanced relative to your needs, but if you had to qualitatively talk to them, would you say your inventories are normal, below normal, above average? How would you have us think about that?
Mark Kowlzan: Well, again, it depends on what time period you're looking at. We're living in a dynamic world right now. And if you went back to 2020, let's go back and take a look at what happened there, as the pandemic settled in, and we got into the fall of 2020, and demand picked up dramatically in that period of time, we found ourselves at, quite frankly, an unsustainably low level of inventory per our demand. And it took us the better part of 2021 to drive that inventory to a much more comfortable level. Obviously, part of that was the transportation dilemma that was taking place throughout North America between truck drivers availability and rolling stock availability with the pandemic going on. And then just the demand pressures that were in place. But through the end of 2021 into the early part of 2022, we did achieve the -- what we felt were comfortable levels of inventory to supply our system. As the year 2022 rolled on, we also anticipated certain end-of-year activities with annual outages through the year and then different marketplace conditions into the third and fourth quarter. What we saw happen, obviously, in the fourth quarter was the falloff in demand and so we were able to readjust what we didn't believe should be our new inventory targets understanding that demand was falling off faster than we had anticipated. But also, we had the capacity now with our system improvements and with the Jackson mill being completed that we had a much higher comfort level that we could supply outside sales and our own box plant needs by running to a lower level, which again was a prudent financial decision for us. Anything else, George?
George Staphos: A couple more, I'll make them quick. The mix given our calculations was quite strong. Is there one thing you would point out or a couple of things you'd point out in terms of what allowed you to put up some fairly strong realizations per ton realizing quarter-to-quarter things can move around. And the same thing on operations and cost if there was one or two things, you had to point out that allows you to put up the quarter that you did. What were the two highlights be? Then I'll turn it over there. Thank you.
Mark Kowlzan: I'll let Tom talk about the mix question then I can talk about operations.
Thomas Hassfurther: Yes. Well, our mix was solid again, George. Of course, we don't -- with 18,000-plus customers spread across a lot of different industries, it was a relatively strong mix, and we were pleased with that. And I would just -- Yes, go ahead.
George Staphos: So is that more execution than, Tom, as opposed to any one driver? Is that what you're kind of getting at there?
Thomas Hassfurther: Yes, yes, I think so. And Mark will talk a little bit more about the cost side. But I think we're also seeing some big benefits from all the investments that we've made, especially in our box plants over the past number of years. And so from a cost basis, we were incredibly good and performed very well.
Mark Kowlzan: To that point, George, in 2021, with the new organization that we put in place in 2019, and we've been doing all of these capital projects in the mills and box plants. But 2021, we worked on probably 53 of our box plants with various sized capital projects going on from big projects and -- to small projects for retooling, recapitalizing converting lines, corrugating operations, significantly improving the unit labor productivity in these facilities. Same thing in the mills we've worked for decades, and we continue to do that every day on improving the efficiencies throughout the operations. And so that was another thing. I think if you look at the cumulative benefit of what Tom just said with the projects that we put in place in the box plants, the ongoing efforts that we continue to perform in our mills, we were able to pivot during the latter part of the year. And even though we took machines down and idled the Jackson mill, we're able to really wring out some efficiencies because of how we operate day-to-day and how we understand where these opportunities are. Again, it's -- it reflects on the organization and how we look at our business 24 hours a day, seven days a week.
George Staphos: Thanks very much. I'll turn it over.
Mark Kowlzan: Okay. Thanks, George. Next question please.
Operator: And our next question comes from Mike Roxland from Truist Securities. Mr. Roxland please go ahead with your question.
Michael Roxland: Thanks, Mark, Bob, Tom, Ted for taking my questions. Just on Jackson, how do you plan to operate that mill going forward? Obviously, the first phase is behind you. You've postponed now the second phase to 2024. Given that demand remains challenging, as you've noted, you operate that convert line? And do you have the flexibility if the manner remains challenging to operate white paper on it given still strong line paper markets?
Mark Kowlzan: No, the Jackson mill now is a containerboard operation. That mill, for all intents and purposes, will not make any white paper ever again. It's truly the work we just completed in terms of the scope of work that we set out has achieved everything that the first phase was supposed to. We are now running very efficiently, very effectively. We started up just the week before last, and we ran last week, and we've been producing Grade A paper converting it in our box plants, but we'll be able to take advantage now of the project's cost benefit opportunities. There's the work that was done, and we talked about this last year would help us on the input cost side of the equation with energy usage, labor-type impacts, fiber yield, and so we will see those benefits. Now it depends also on how much production we see on the big machine. We're also ramping up the machine as we speak. The machine for the last 1.5 years from when we converted it in 2021 and ran through 2022, we were producing probably 1,275 tons a day average in that range. And right now, currently, we're somewhere in that 1,300-ton a day range and just getting comfortable with all of the new equipment. Essentially, we have a new paper machine on our hands here and then the pulp mill has been significantly rebuilt and new OCC plant. So there's a lot of new infrastructure in the mill that we're getting used to running, but we're also going to look at what the opportunity is. The second phase of work that we can choose to do when the timing is right, involves 23 new additional high-pressure dryer cans, a new forset reel at the dry end of the paper machine and then a new shoe press in the press section to enhance pricing and improve the drawing. That will take place when we need the tons. So that's to be determined, but we have the luxury of deciding that when we need to decide that. But the first phase of the work has been done extremely well. We're very pleased with what we see. So now we'll take advantage of what we have in place. And as we've done for many years, we'll wring out these benefits and these efficiencies from day to day here. So I'm pretty optimistic on what we have at Jackson. The number one machine, the smaller machine is down. It's idle temporarily. It will be available if demand determines that we should run that. And so again, I think current times, we will continue to run to demand. The entire system, we also have the annual outages coming up starting next month with our DeRidder and Counce mill. So we have to think about where we need to be with inventory levels and what we have to do to supply our box plant needs. So in that regard, I think Jackson is in a good place, but a lot of opportunity there.
Michael Roxland: Just quickly, as Jackson started and running obviously it seems to be meeting or exceeding expectations, have you adjusted your operating posture elsewhere just to account for the demand environment? And then just my last question is with inputs coming off, as you noted, have you seen any change in behavior from any of your competitors with respect to downtime or production discipline?
Mark Kowlzan: I'm not going to talk about our competitors. We just -- we're running to demand. We'll continue to run to demand. The Jackson machine is an opportunity for us to provide low-cost, high-quality containerboard into that Southeastern region. But it also means, as you could well assume, the rest of the system will run as we need to run it. But keeping in mind what I just said that we have our big annual outages coming at our two biggest mills being DeRidder and Counce, Tennessee, so our plans were to run a little bit extra inventory build over the next couple of months to ensure that as we go through these big outages, we will supply our needs appropriately.
Michael Roxland: Got it. I'll turn it over. Good luck in the balance of the year.
Mark Kowlzan: Thanks, Mike. Next question please.
Operator: And our next question comes from Mark Weintraub from Seaport Research Partners. Please go ahead with your question.
Mark Weintraub: Thank you. Following up on George's question to some extent. You had talked about how the capital projects really helped on the and capital, particularly the converting operations. You've also talked about how your price mix was really strong in the fourth quarter. And frankly, it's been really good for the last like two years. You've just been doing extraordinarily well, price/mix. How the capital projects help to improve your -- the mix in terms of like more higher value-added packaging that you're providing your customers? Or has your extraordinary performance been kind of just execution also your focus on smaller, more local accounts.
Thomas Hassfurther: Mark, this is Tom. I'll handle that. I mean, keep in mind that we've always said that our customers drive what we do and especially in the box plants, they drive our capital investments. So we grow with them, and we adapt to whatever they need and what they're looking at, and we try to align ourselves with customers that are going to grow going forward, whether they're small or large. So I think that all of that kind of comes together. And our objectives are not only from a cost standpoint, but to satisfy those customers and puts us in a good position, I think, to take advantage of whatever the market opportunities present.
Mark Weintraub: And so sort of getting to the next -- so would you say that the product that you're producing and selling to the customer has changed much? Or it's really -- so the mix has sweetened that way over the last couple of years? Or it's just you've been very, very successful in getting higher pricing?
Thomas Hassfurther: Well, I'll give you an example. Our customers are continually having to change to be successful in the marketplace. And if you look at the retail market, as an example, it's very different today than what it was even five years ago. And during COVID, a lot of things occurred, especially inside the big box stores as an example. How do we get the customer back in there? What are they buying? What are they looking for? How do I promote my products and things like that. So there's been a lot of changes, and we assist a lot of our customers in helping make those changes and keeping track of what those trends are.
Mark Weintraub: Okay. Great. And then lastly, obviously, demand kind of -- to me at least, it's been astoundingly weak in the last couple of quarters. And you've pointed out the various drivers. Do you have any sense as to how impactful in particular, say, the inventory correction has been in terms of the magnitude of decreases? And are you getting any clarity from customers where we might be in that process? Because it sounds like we're going to continue to see weakness in the first quarter at a minimum. And then a tough question, but are you getting any indications from your customers as to what to expect for the full year? Or is it just not enough visibility?
Thomas Hassfurther: Okay. Let me tackle a couple of these at a time. I think, first of all, let's see if we can help get ourselves calibrated here properly. We're coming out of COVID now, which had a tremendous amount of government stimulus pumped into a market which created, in my opinion, quite a bubble in terms of demand. If you look back historically and you look at box demand historically, it was always pretty level at that 1% to 2% range per year. And all of a sudden, we're jumping up into now double digits and some other things during the COVID years. So that's why I drew the correlation with what happened in -- how we compare now to 2019 and being 6% or maybe slightly above 6% compared to 2019 being up, clearly, some of the errors come out of that bubble, but not all by any means. So it's still a quite healthy demand, in my opinion, when you compare it to pre-COVID. And relative to the inventory correction. Yes, there was a huge inventory correction, and that's still continuing to some extent, as a combination of two things. Still, the supply chain is a big issue for our customers. And as you know, China just recently reopened. So there is still an enormous backlog of products waiting to be shipped and just waiting for parts whether it's in the auto sector or any other consumer product sector. There's quite a big backlog. So we're still waiting for that to correct. I thought it would have been corrected a little bit sooner than what it appears. And that's why we're taking a relatively conservative approach to our forecast for the first quarter because we really can't predict when that's going to catch up to some extent. But I would say overall, our customers feel pretty good about where they are and about the full year, if we may have a mild recession, we hopefully have a soft landing, those sorts of things. And hopefully, the Fed backs off a little bit on the interest rate increases. Those are all, I think, important to our success in '23, and we'll just have to wait and see what happens. But overall, I think when you really compare it to pre-COVID, we're still in a pretty healthy position.
Mark Weintraub: Okay. Thank you.
Thomas Hassfurther: Next question please.
Operator: And our next question comes from Adam Josephson from KeyBanc Capital Markets. Please go ahead with your question.
Adam Josephson: Thanks. Good morning, everyone. Hope you're well. Mark, one more on the conversion delay. When did you arrive at that decision, and why -- you mentioned you're postponing the second phase by year. Why a year as opposed to, I don't know, six months, nine months, 15 months or just indefinitely and whenever demand gets better, we'll do it as opposed to we're planning to do it a year from now.
Mark Kowlzan: Adam, if demand picked up next month and all of a sudden, we needed the tons, we could pull the plug on that project, and we could do it in the spring time if we wanted to. That's the luxury that we have. We have all the equipment in our hands sitting in the warehouse at the mill. We have all the engineering done. So when we need the tons, we will do that project, and that's the benefit that we have there. So there's no secret formula. There's no magic in terms of what's driving this decision except the marketplace and our customers. And as Tom mentioned a few minutes ago, we grow with our customers' demands, and we're in a good place to do that, but also being mindful of our uses of cash and our capital spending, there's no need to spend the remaining portion of that capital on a project that's not earning any return currently as opposed to perhaps another use of that cash this year.
Thomas Hassfurther: Adam, this is Tom. Let me -- Adam, this is Tom. Let me just add something here real quick because I think this is really important, and we've been very, very consistent about this. We're not a company that builds it and hope they will come. Hope is not our strategy, has never been our strategy. Our strategies are built around our customers and what they see and what they need. So that's never going to change and we see the reality of the marketplace out there. And as we've said many times, there's not a huge open market, the export markets are under some duress right now around the world. There's not an immediate place to go to with these tons. And so we're going to be flexible and adapt to whatever the market conditions are. And our customers appreciate the fact that we will always be there for them, and we'll be prepared, and we're ahead of the curve.
Mark Kowlzan: Adam, what Tom just said and this plays into what we've always done, our competitors typically would have done one big project, got the entire project done at one time and had all of this capacity and had all of this complexity to deal with. We determined two years ago; we would do this project in phases. And if you go back decades, go back 20 years, we've always done our projects in multi phases. Now there's reasons for that. Besides capital effectiveness and uses of cash and prudent management of our cash, there's also risk mitigation and then growing with our customers' needs. And so it all plays into our historical behavior on how we go about projects and how we grow our business.
Adam Josephson: Yes. That makes perfect sense, Mark. Tom, just back to the box demand issue. So your -- you said you're running about 6% above 2019 -- 1Q '19 levels on a per day basis. So it sounds like demand is not at particularly depressed levels for you. So when you talk about per day shipments, expecting those to be flattish sequentially, is there a lot of destocking in there that you can see? Or do you think that that's a reasonably "normalized" level of demand for you if you get my drift?
Thomas Hassfurther: That's the million-dollar question right there. Let me tell you. I'd like to be able to predict that perfectly. Obviously, I can't. As I said, I said that's we're taking a pretty conservative approach in the first quarter to our projections because we really don't know when this destocking is going to end. I think we're clearly past the midpoint in that. I know that for a fact, and I can feel that. But to what extent it goes further, I really can't tell you, but I think even with this conservative approach, my point about comparing to 2019 was, it's still pretty solid compared to 2019, just to get us all calibrated as to where we are.
Adam Josephson: Right. And just to be clear, when you talk to your customers, you don't have a firm sense of whether they've done 90% of whatever destocking they're going to do or 70%, it's just not clear.
Thomas Hassfurther: Well, I think some of -- when we talk to specific customers, I mean, we get kind of a mixed bag is what we get. Some have completely -- some are completely destocked and others still have significant inventories and significant issues. And even on their side, they've got a lot of product of their own sitting there in warehouses that was prepared for a COVID environment, and now we're post COVID, and it's a different environment. So they're making their adjustments as well. And I did mention the supply chain issues that a lot of them are still dealing with.
Adam Josephson: Yes, I appreciate that. And just one last one for me on the wood cost issue. Can you help me with what magnitude of declines you're seeing sequentially in wood costs? I appreciate that it's regional. So it varies by the mill. But overall, what you're seeing, how much is transport related? How much is weather related, just any -- the percentage decline you're experiencing? Any -- if you can flesh that out because it's not the most transparent of issues for us.
Robert Mundy: Adam, this is Bob. What we said in our release and in our prepared remarks is we were talking about wood prices, not necessarily wood cost. Wood cost sequentially is fairly flat because typically, as you go into the much colder months, your wood yields and so forth aren't as good. So you see some usage going the other way. But the pricing improvement that we're seeing is, it is -- it was a bit drier than normal. The weather cooperated at least as far as wood supply goes over the last few months. So we're in a good place with our inventories and the price of that wood. And demand, quite frankly, there's a lot -- there has been downtime when the industry, as everyone knows, so demands and that helps you with price. So wood typically does not jump around a lot, and it's -- but I do think overall for the year, we think it will be -- should be down slightly on a price basis and maybe costs fairly flat for the full year.
Adam Josephson: Got it. Thanks so much, Bob.
Robert Mundy: Next question please.
Operator: Our next question comes from Gab Hajde from Wells Fargo. Please go ahead with your question.
Gabrial Hajde: Tom, Bob, good morning. I just had one on capital allocation. And I know that you reserve the right to spend is warranted in terms of returns and things like that. But you made the comment that you've come out of a couple of years of elevated spend. This year's CapEx is $475 million. Is it appropriate for us to sort of think about, I don't know, $450 million to $500 million in CapEx as normalized. And then on the capital allocation side, Mark, you also said, "Hey, we want to take a balanced approach. But I can't help but look at history when you guys have been aggressive buyers of your shares. It seemed to be opportune and give you a nice return. So can you just talk a little bit about how you internally talk -- think about returns on capital as it relates to projects versus share repurchases?
Mark Kowlzan: First of all, starting off for the last five or six years, we've had historically high capital spending to retool our -- primarily our box plant system and then take care of the mill big conversion projects and some of these big efficiency opportunities. But in my prepared statements, I commented that we've made clear to the investment community that this year, in particular, would be a reset down to more normalized levels of capital coming off those big highs, and so as we look at this year, we're coming down probably $350 million off of last year's $824 million capital spend. And so as we get into the $400 million area, I think for the next couple of years, that's going to be the range we're into. We've got some work to finish up in the box plants. We've got some big opportunities. We're finishing this year as an example. And then when we finish up Jackson, that will be one piece. It's not an extraordinarily large amount of capital, but it will finish up. But I think we're in a very comfortable period of time going forward now that we will be able to maintain our assets in very good condition. We'll be able to continue to take care of customer growth opportunities with capital installations on converting pieces of equipment. We have obviously the capacity in our mill system to supply that growth in a very, very cost-effective manner. So I think, again, the new capital trend going forward is significantly lower than it has been, which bodes well again for or what we do with the cash and how we deploy cash to provide return to our shareholders. And then in terms of how we look at returns on investment, we've always had probably the highest hurdle rate in the industry in terms of what we set internally as our target of acceptable returns for projects. Now some of these projects, obviously, you're growing with customers, but you're growing with valuable, high profitable added box business. But again, I'm not going to give you the return targets we set, but you can assume, and we've always said this, that we set some very high hurdle rates on our expectations on $1 spent on what we expect for that return. And that reflects itself in the return on invested capital number. It's not only the highest in the industry, but in manufacturing industrial sector alone, it ranks amongst the highest. Does that help you?
Gabrial Hajde: It does. It absolutely does. And then maybe the low-hanging fruit just to make sure we kind of have math calibrated right. If I extrapolate out the comment that you guys made it seems to imply maybe 16 million square feet for the first quarter or down 4% to 5% or so on a year-over-year basis. I'm assuming that whatever your experience has been thus far in January, went into that calculation, and it's the best estimate in terms of backlogs and what you have line of fight to.
Thomas Hassfurther: Yes. That's a fair assumption, Gabe.
Gabrial Hajde: Thank you. Good luck.
Thomas Hassfurther: Okay. Thank you. Next question please.
Operator: Our next question comes from Cleve Rueckert from UBS. Please go ahead with your question.
Cleveland Rueckert: Hey, good morning. Thanks for taking my question. Just a couple of follow-ups for me. I wanted to just ask more specifically on the work that you're doing at Jackson. I'm wondering, does that change PCA's capability and product offering at all? In other words, are there new market opportunities from that project? Or is it more just about optimizing your existing book of business?
Mark Kowlzan: Yes, I'll let Tom take care of that.
Thomas Hassfurther: Cleve, what it does is it enhances some of our proprietary capabilities. That's how I would put it. And we need that, quite frankly. So that's the big short-term objective. And then obviously, we talked about the longer-term objective in Phase 2 being that ability to grow with our customers.
Cleveland Rueckert: Okay. That makes sense. And then just a couple of quick follow-ups, inventories, you talked about them a couple of times. I just explicitly like where are inventories relative to where you would like them versus your plan in containerboard.
Mark Kowlzan: Well, we never give absolute numbers. Again, we dropped down 60-some-odd thousand tons from the third quarter to the end of the fourth quarter. We're going to build, again, some extra inventory in January, February period to get ready for the outages at the DeRidder, Louisiana mill and the Counce, Tennessee mill. It's not an extraordinary amount of inventory. It's just a little bit of insurance cushion here for making sure that we take care of the box plants. But I think I will say it this way. What we ended the year 2022 with, we're in a good comfortable range of where we need to be now going forward with what we're seeing in the marketplace demand and our capabilities now. So this lower inventory certainly meets the current requirements. But with just a little bit extra build to get us through these big outages. Annual outages are always an uncertainty. You never know what could happen. Obviously, we're very good at what we do, but we always plan to try to mitigate some risks and the risk mitigation comes in a little bit of an insurance policy with some extra inventory on hand to make sure the box plants are well taken care of and our outside customers.
Cleveland Rueckert: Right. I think that makes a lot of sense. And that's very clear. And then I know you said that the number one machine is down at Jackson is idled temporarily. I mean, are you expecting to take any other economic downtime in Q1? Or is it really more about maintenance in the first quarter?
Mark Kowlzan: I'll let you know in April, what we did.
Cleveland Rueckert: Okay. Good luck guys. Thanks very much.
Mark Kowlzan: All right. Next question. Thanks.
Operator: Our next question comes from Anthony Pettinari from Citi. Please go ahead with your question.
Anthony Pettinari: Good morning. Just a couple of follow-ups, Mark or Tom, the second phase of the Jackson conversion that you're postponing from spring, maybe until next year or beyond, sorry if I missed this, is there a capacity number that you would kind of associate with that second phase or any kind of finer point you can put on that?
Mark Kowlzan: Well, I'll go by historically what we said in the last two years. The ultimate project at Jackson would on paper, get us a 2,000 ton a day containerboard machine. It would be one of the largest machines in the Western Hemisphere in terms of productivity and if you could understand and appreciate our efficiencies, it will not only be one of the largest, most productive virgin kraft linerboard machines in the Western Hemisphere, but it will be one of the lowest cost machines. And so I said we started up last week. We're in that 1,300 ton a day rate right now. We're obviously -- we'll probably push the machine and see what we -- like having a new toy. We're going to see what it will do for us over the next month or two. What are the limitations and making sure we haven't missed anything from a process point of view. And if we missed anything, then we have ample time to correct it over the course of the months ahead of us. But ultimately, the final phase will give us the extra drying and the speed on the paper machine to take us from let's just say we could run 1,500 tons a day right now with the machine we have. the last phase of work gets us that extra 500 tons a day, just to help you with some math.
Anthony Pettinari: Okay. That's very helpful. And then just another quick question. You talked about the fiber flexibility projects. And with those done, where does that put your fiber mix or your ability to maybe flex from Virgin to OCC? And then just maybe a related question. I mean, I think historically, you've talked about the customer preference and the benefits of kraft liner, it seems like the price spread between kraft liner and recycled has kind of moved up a bit or moved out a bit. Are your customers -- do you see any specific trend in terms of increased demand for recycled or vice versa? Or just kind of how is that dynamic playing out? And what do your capabilities look like now to move between the two.
Mark Kowlzan: I'll answer part of that, and I'll let Tom answer part of that. We talked about some of these fiber flexibility projects. The biggest ones at the Wallula Mill, we over a 2.5-year period, we added a big OCC plant out there and then did completely rebuild the woodyard and improved our chip handling, chip screening and fiber yield capability in the woodyard but now Wallula has the ultimate flexibility to push OCC at very high rates if the pricing and availability is there. And then we just finished up the big OCC project at Jackson in conjunction with the rest of the work at the mill. And so Jackson, Counce, DeRidder, Wallula in terms of our linerboard mills primarily linerboard, even though DeRidder and Jackson and Wallula can make medium, but they have incredible opportunity to flex the amount of OCC, DLK that goes into the furnish depending on pricing and opportunities to take advantage of various fiber sources. And so I think if you did the math, and I'm not -- I don't have this right now, Bob might have this, but we're probably still around 20% in total -- of our total makeup of what would be OCC, DLK and virgin fiber. But we have now improved significantly by mill, what we can use in any given day. Tom, do you want to add?
Thomas Hassfurther: Yes, yes. I'll just add, Anthony, from a customer point of view, what do our customers want? They want the same thing we want, and that is performance. And one of our advantages being primarily virgin is that we have a lot more opportunity to hit the performance numbers at particular basis weights that I think give us a distinct advantage so that we can take advantage of all this fiber flexibility that we have, and we can also minimize some chemical use and some other things in that process. So that's really how we view our -- what our output from our mills is performance-based, and I mentioned some proprietary products that we have, and those are all based around performance.
Anthony Pettinari: Okay. That's very helpful. I'll turn it over.
Thomas Hassfurther: Thank you. Next question.
Operator: Our next question comes from John Dunigan from Jefferies. Please go ahead with your question.
Philip Ng: Hey, guys. It's actually Phil. I guess a quick question. Good morning, Tom. Great results in a tough backdrop. I guess my first question is normal cadence of prices moving higher with -- on the container wood side, we kind of have a good feel for how that kind of flows through your P&L. Does that dynamic from a timing perspective accelerate when prices fall, and in this current environment, have you seen more business actually put up off for bid lately?
Thomas Hassfurther: The answer to that is no, that does not accelerate when prices fall. In fact, it probably is the other way around. And our feedback from our customers is that they're not -- they haven't been anticipating it and they're not -- they're interested in being aligned long term. This is not a short-term play or anything like that. So we haven't seen any uptick in bids or anything like that either.
Philip Ng: That's really encouraging. And it's great to see you guys take such a disciplined approach in terms of running your mills. Tom, I think you were talking about the macro, there's a lot unknown right now. Let's say -- let's assume it's more of a soft-landing backdrop. There's a decent amount of capacity coming on in the next 12 months. How do you kind of see that playing out for the industry? And then more importantly, how do you kind of see PCA position in navigating through that backdrop?
Thomas Hassfurther: Well, number one is the capacity adds that are coming on really have very little impact for us. And I think you have to look back historically and see what happened in the past when there's been adds of capacity that have come on. I think about the Verso mill up in Jay, Maine when they converted a machine to virgin kraft. That did not succeed. That mill is not even open anymore. Midwest Paper was another one that had -- it's -- as we've said a long, long time, the open market is very small in the U.S. And so those that add, they're going to have to look outside the United States for the most part. This is a very, very integrated market, the open market that does exist is under long-term contracts, typically or certain relationships like we have with our outside market buyers. So it's -- that has very little impact in my opinion. So when you hear us say we're running to demand and demand is what it is. And just to produce additional board for the sake of producing it, is basically like a death wish and it doesn't do you any good. So I hope that gives you a little flavor for where we're coming from.
Philip Ng: That's great color. Really appreciate it.
Thomas Hassfurther: Okay. Next question please.
Operator: Our next question comes from Kyle White from Deutsche Bank. Please go ahead with your question.
Kyle White: Hey, good morning. Thanks for taking the question. I just wanted to go back to boxes at demand. And just wondering if you can give us a little bit more details on what you're seeing by end market in that business. Any end markets that are really still working to the destocking and a bit weaker that we should really monitor here versus other end markets that have gone through this impact already?
Thomas Hassfurther: Well, the only thing I could say about some of these end markets, obviously, there anything anybody in durables got a big, big jump during those COVID years and they've come down dramatically. Consumers only need so much of some durable goods. And so that, therefore, that's come down quite significantly. The other thing that has impacted us is in the ag business, Florida is an example with the two hurricanes. I mean, have wiped out some seasonal crops, the Pacific Northwest has had a lot of difficulty. You've got droughts in some other places. So the ag business took a pretty big hit this year, but that will definitely bounce back and that, and that should bounce back in pretty good shape. Other than that, across all of our segments and sectors, there's all sorts of puts and takes and some are in better shape than others, and that's just -- that's kind of the normal seasonal activity that takes place anyway.
Kyle White: Got it. And then you're fairly active in share repurchases this past quarter. Can you just talk about your thought process there? And should we expect you to continue to be active throughout 2023, given your healthy balance sheet and maybe just how you weigh those decisions versus any potential acquisitions?
Mark Kowlzan: Again, we'll be opportunistic as we've always been looking at these opportunities, whether it's a great acquisition came along and it made sense to us. We have the ability and the flexibility to take advantage of that type of use of cash. Same thing with share repurchase and dividends will continue to be something we keep in front of us and look at how do we provide the best return for our shareholders and also at the same time, be in a position to take care of our customer needs. So again, as I said in my prepared comments, as we go forward, we're in a great position to maintain the flexibility with our uses of cash and maintain a very strong balance sheet. And so none of that's changed. It's just part of our norm every day.
Kyle White: Sounds good. I'll turn it over.
Mark Kowlzan: Okay. I think we might have time for one more question, please.
Operator: Our final question today will come from Mark Weintraub from Seaport Research Partners. Please go ahead with your question.
Mark Weintraub: When he asked about the cadence of how price adjustments flow through the P&L. And I think you suggested that it was not faster on the way down than it is on the way up. So I guess that kind of begs the question. So of the $50 that has already been reflected by PPW, is a significant share of that anticipated to already be showing up in the box prices in the first quarter? Or is a meaningful portion of that yet to come in the second quarter if we were just to assume prices were in PPW flat from here?
Thomas Hassfurther: Well, Mark, as you can well imagine, I mean, the $50 has just come, has come in increments, I mean, may or may not hit a rate at which the price would change based on the contracts. All these contracts are very different and very different timing mechanisms. So that's why I said it's -- there's no -- you can't say that it's going to go down faster than it went up or vice versa. I mean it's just; it is what it is. And as these things cycle in, they'll cycle in uniquely, we've got some customers who have even asked us just to hold off at the moment because they're not confident of what may be taking place in reality. So we'll just have to -- I mean, as I said, it just -- it factors in and meters in a little differently than I'd say on the way up just because of the small incremental moves that take place.
Mark Weintraub: Is there any color you can help us with in terms of the proportion based on what you're seeing now, you would think would show up in the first quarter versus what might slide into the second, recognizing situations can change.
Thomas Hassfurther: I'll let Bob handle that.
Robert Mundy: Mark, it's Bob. So I would use sort of -- as Tom was indicating, based on how these things flow through and there's obviously different timing mechanisms and so forth. But however, I'd say roughly one-thirds or so you would see in the first and then two-thirds of what's happened so far showing up in the second quarter.
Mark Weintraub: Okay. Thanks very much.
Mark Kowlzan: Thanks, Mark. Jamie, I think that concludes our questions.
Operator: Sir, that does conclude today's Q&A session. Do you have any closing comments?
Mark Kowlzan: Yes, I'd like to thank everybody for taking the time and look forward to talking with you with Tom and Bob and I in the April call. Take care. Have a good day. Bye-bye.
Operator: Ladies and gentlemen, with that, we'll conclude today's conference call and presentation. We do thank you for joining. You may now disconnect your lines.